Operator: Good day, ladies and gentlemen, and welcome to the first quarter 2015 Providence Service Corporation Earnings Conference Call. At this time, all lines are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] I would now like to turn the call over to your host for today, Ms. Alison Ziegler from Cameron Associates. Please proceed.
Alison Ziegler: Good morning, everyone, and thank you for joining us this morning for Providence's conference call and webcast to discuss key management changes and our financial results for the first quarter ended March 31, 2015. On the call from Providence today is Chris Shackelton, Chairman of the Board, Warren Rustand, CEO and Jim Lindstrom, CFO. Before we begin, please note that we have arranged for a replay of this call. This replay will be available approximately one hour after the call's conclusion and will remain available until May 19. The replay number is 888-286-8010 or 617-801-6888 with the passcode 41247620. This call is also being webcast live with a replay available. To access the webcast, go to www.provcorp.com and look under Investor Information as well as the Event Calendar. Before we get started, I'd like to remind everyone of the Safe Harbor statement included in the press release, and that the cautionary statements apply to today's conference call as well. During the course of this call, the company may make projections or other forward-looking statements regarding future events or the company's beliefs about its financial results for 2015 and beyond. We wish to caution you that such statements are just predictions, and involve risks and uncertainties. Actual results may differ materially. Factors which may affect actual results are detailed in the company's recent filings with the SEC, including the company's annual report on Form 10-K for the year ended December 31, 2014 as well as subsequent filings. The company's forward-looking statements are subject to change and are based on current expectations that involve a number of known and unknown risks, uncertainties and other factors which may cause actual events to be materially different from those expressed or implied by such forward-looking statements. These statements speak only as of the date of this webcast, May 12, 2015. The company is under no obligation to and expressly disclaims any such obligation to update any of the information presented if any forward looking statement later turns out to be inaccurate, whether a result of new information, future events or otherwise. In addition to financial results prepared in accordance with Generally Accepted Accounting Principles or GAAP stated in the press release and provided throughout our call today, the Company has also provided EBITDA, adjusted EBITDA, adjusted net income and adjusted EPS non-GAAP measurements, which present its earnings on a pro forma basis. During this call, the Company will also discuss certain pro forma financial measures giving effect to the results of certain recent acquisitions as if they had occurred at the beginning of fiscal 2014, which is also a non-GAAP presentation. EBITDA, adjusted EBITDA, adjusted net income, adjusted EPS and the pro forma financial measures discussed are measurements not determined in accordance with or an alternative for Generally Accepted Accounting Principles, and may be different from non-GAAP measures used by some companies. A definition, calculation, and reconciliation to the most comparable GAAP measures for EBITDA, and adjusted EBITDA, adjusted net income and adjusted EPS can be found in our press release. A definition, calculation, and reconciliation to the most comparable GAAP measures for the pro forma financial measures provided can be found on our website, www.provcorp.com and in our current report on Form 8-K filed with the SEC on May 11, 2015. The items excluded or included in the non-GAAP measures pertain to certain items that are considered to be material, so that exclusion or inclusion of the items would in management's belief enhance a reader's ability to measure overall operating performance and compare the results of the Company's business after excluding or including these items with other companies within its industry. Finally, for simplicity, we will be speaking in US dollars when referring to such things as contracts and revenues. Amounts translated from other currencies, including the British pound have been translated at the exchange rates in effect for the corresponding time period. As such, these amounts may differ in future periods. I'd now like to turn the call over to Chris Shackelton, Chairman of the Board. Go ahead, Chris.
Chris Shackelton: Thank you Alison and good morning to everyone on the call. Before Warren and Jim take you through Providence's financial performance for the quarter, I'd like to comment upon Warren's recently announced decision to step down as CEO. First, on behalf of Providence and the Board, I'd like to thank Warren for his many contributions for our Company. On a personal level, I'd also like to thank Warren as a colleague and a friend. Working alongside Warren over the past three years has been a remarkable and rewarding experience for me. As you may recall, shortly after I became Chairman in 2012, we asked Warren, a fellow Board Member at the time to step into the role of CEO and help lead a transformation of Providence. Warren's leadership has made us better and has positioned us as a stronger organization. Over the next few months, as the Board conducts a formal search for Warren's replacement, I have agreed to assume the CEO responsibilities on an interim basis. At the Board's request, Warren has also agreed to stay with us for the remainder of the year as a Senior Advisor. As many of you know, I've been an active Chairman over the past three years and have a strong familiarity with our operations and deep relationships with leadership throughout the Company. Given our holding company structure, with businesses driven by terrific portfolio of companies CEOs, I don't anticipate any disruption over this interim period and I expect a smooth transition. Looking forward, our Company has a foundation of great businesses and talented leaders from which to continue to build an exciting future for Providence. Thank you for your continued support, at this time, I'd like to turn the call over to Warren.
Warren Rustand: Thank you Chris. It's been my privilege to service Providence shareholders, Board and employees as CEO over the past two and half years. I'm proud of what we've been able to accomplish together. The Board is placing Providence in good hands under the strong leadership of Chris, Jim, vertical CEOs and our leadership teams. So let's move to the main purpose of today's call, I'll make a few high level observations and comments about our segment business and then, I'll turn it over to Jim for the detail. As you can see from our press release, we had a strong first quarter versus both prior year and our internal expectations. Organic revenue growth was experienced across all four of our segments led by LogistiCare and Matrix. Consolidated EBITDA margin also improved versus prior year as a result of the addition of Matrix margins, but also due to improving profitability at our Human Services segment. At our Human Services segment, the top-line increased by 2.5% in the first quarter versus prior year as a result of organic and exquisite growth. Our operational improvement strategy also drove increased profitability versus prior year. Our LogistiCare which we refer to as NET Services in our press release, performance was better than expected. Revenue growth approached 30% as the result of new state and MCO contracts and increased membership, partially offset by contract expirations. The anticipated margin contraction we communicated in our last earnings call began to evidence itself as the expansion and woodwork populations are becoming more familiar with our services, thereby increasing overall utilization. At NGS, known as WD Services, the biggest news for the quarter was our securing of a five-year contract to deliver employment services in Australia through Mission Providence, our newly formed joint venture. With this win in Australia, the total value of contracts won by NGS since our acquisition is now over $1 billion. This win also builds upon the diversification of NGS beyond the UK welfare-to-work market that began in a big way with our securing of the UK Ministry of Justice Probation Services contract in Q4 2014. Lastly, Matrix, referred to as HA Services, had a great first quarter in addition to revenue growth and margins both coming in higher than expected. We were pleased with the progress made by Matrix in establishing inroads into the commercial and Medicaid markets. While still representing a relatively small percentage of overall revenue, these markets represent an exciting opportunity for Matrix. In addition, Matrix commenced member visits under its care direct offering to the pilot customer in April. Let me now turn the time over to Jim.
Jim Lindstrom: Thank you, Warren. I will start with a few housekeeping items. First of all, in our press release you will notice a few changes to the way in which we are reporting our results. So, first of all, since joining Providence this year, multiple investors have communicated to me the difficulty or challenges they have in understanding the underlying performance of each of our segments, largely due to our corporate cost allocation methodology. As a result of this feedback, we are no longer allocating all corporate costs to each segment, instead we are allocating to each segment only those corporate costs that represent expenses directly attributable to that segment. Indirect corporate costs are now captured in the new corporate and another category. We hope these changes provide the greater clarity that, you, our investors are seeking. Second, you will notice that the workforce development services segment is registering financial activity in the first quarter of 2014, which is before our acquisition of NGS. This is the result of our decision to transfer the oversight of our employment services operations in the US and Canada from our Human Services management team to the management team in NGS. We see obvious synergies between NGS in these operations and Greg Ashmead and his team are already taking advantage of them. Third, we are now providing adjusted net income and adjusted EPS available to common shareholders. These results are done based upon shareholder feedback to provide net income and EPS on a basis that is more reflective of our true earnings power. The most significant adjustment made to net income in order to arrive at adjusted net income is stripping out the intangible amortization expense which is the result of our historical acquisition activities. Fourth, you will now notice that we have an equity investment line item on our income statement which is under other expenses. This line item is the result of our joint venture investment in Mission Providence using the equity investment methodology. Note that in the calculation of segment level EBITDA, we are including the loss on this equity investment within the workforce development services segment. For Q1 2015, this means that WD Services EBITDA includes the $2.5 million loss on our investment in Mission Providence. Fifth, while we do not have an exact date, we are aiming to hold an Analyst Day as we previously discussed in New York City in early October. Turning to this quarter's performance, our vertical CEOs and their leadership teams drove exceptional first quarter results. Despite the strong first quarter performance, the comments we made on last quarter's earnings call relating to our annual growth and margin expectations for the full year 2015, remain largely intact. We are in no means adjusting our full year expectations upwards as a result of the strong first quarter. Our quarterly performance can be volatile and therefore Q1 should not be used to infer full year performance. Diluted EPS available to common shareholders in the first quarter 2015 was $0.32, or $0.77 on an adjusted basis, a 28% increase from Q1 2014’s adjusted diluted EPS available to common shareholders of $0.60. First Quarter 2015 results included a $2.5 million loss on equity investment related to contracts start-up cost at Mission Providence and $1.5 million expense related to the issuance of restricted stock awards in connection with the acquisition of NGS. Revenue and adjusted EBITDA for the quarter were $506 million and $36 million respectively, and including the results of Matrix and NGS as if they had been acquired on March 31, 2014, pro forma LTM revenue and adjusted EBITDA were $1.9 billion and $143 million respectively. So starting with our vertical, we’ll start with LogistiCare first, our NET Services segment. Herman Schwarz and his leadership team generated an impressive 28.6% revenue growth in the first quarter versus last year. This growth was largely fueled by new contracts, rate adjustments in select markets and increased membership, and was partially tempered by contract expirations. Contract additions included our new Rhode Island state contract as well as new MCO contracts in a handful of states, including Michigan, Virginia and California. We also picked up four new regions in Maine and two new regions in Texas since Q1 2014. Contracts that expired since Q1 2014 and have not been renewed, include contracts in Mississippi and a managed school transportation contract in Connecticut. Membership increases have largely occurred in expansion states including New Jersey and Michigan. As anticipated margin is creeping down from the highs experienced in 2014 as a result of increased utilization in certain states as the expansion in woodwork populations are becoming more familiar with the NET benefit. We expect this increased utilization trend to continue to pressure margins throughout 2015. Q1 2015 was also up against a tough margin comparison versus last year as a result of less severe weather and that was particularly experienced in the Northeastern US. We are also subjected to increased customer service cost. And on this last point, we are seeing increased customer service cost as a percentage of revenue as our contract portfolio includes more and more MCO contracts. MCO contracts typically require more account reps as well as call center personnel than state contracts. So in order to alleviate the higher call volumes associated with the MCO contracts and improved overall user experience, we are investing and developing in bolstering our overall IT capabilities. Lastly on LogistiCare, the status on expected RFPs in the number of states is unchanged. Therefore, we assume that we will extend multiple contracts by at least a quarter or more in some of these states. Moving on to our Workforce Development segment, which is now comprised of Ingeus and Human Services, former workforce development operations in the US and Canada. Our CEOs of Ingeus UK and Ingeus International, Jack Sawyer and Greg Ashmead and their respective teams were quite busy on the new business front this quarter. In the UK, Jack and his team are focused on rolling out of our reducing re-offending partnership contract, which is performing in-line with our initial expectations. We have also referred to this contract as the MOJ contract in the past. On the International side, Greg and his team are generating strong backlogs in France, South Korea, Saudi Arabia and obviously Australia through our joint venture. To expand a bit on Australia for a moment, as Warren mentioned, Ingeus formed a JV with a non-profit incumbent employment services provider that has proven to be a great partner for us as we re-enter the Australian Employment Services market. Given the number of regions we won in Australia, our annual revenues from the contract are expected to be in-line with many of our mid-tier sized contracts on the cross-profits. Most of these contracts generate $50 million to $75 million per year of revenue. One key difference is the fact that we have a partner in this initiative and we will incur start-up costs similar to other Ingeus contracts. In 2015, we expect this expense to be just under $15 million. Strategically we are pleased with our mix-up regions in the Mission Providence win, which includes Sydney and we look forward to working with our JV partner and the Australian government and the provision of world-class employment services to the citizens of Australia. Financially, this segment generated adjusted EBITDA of $5.2 million in Q1 2015. This adjusted EBITDA included incentive fees of $4.7 million related to 2014 activity on a major contract. We do not expect to recognize additional incentive fees related to this contract until Q1 2016. Consistent with previous comments, we expect to incur $30 million in start-up costs for RRP as we have referred to it previously, our MOJ contract and Mission Providence initiatives for the full-year 2015 [ph]. Again, these start-up costs are in-line with the lifecycle characteristics of Ingeus’ contracts we described earlier on our prior earnings call. Understanding these characteristics is crucial for understanding Ingeus’ financial performance. As a quick refresher, Ingeus’ contracts are long-term in nature, typically five to seven years with significant year-to-year variability in revenue and profitability. Due to such characteristics as upfront start-up costs, contracted changes and base service fees over the life of the contract and payments based upon long-term performance. As a result, we believe NGS’ performance should be measured over a multi-year time horizon and not year-to-year and certainly not quarter-to-quarter. With our recent success in converting our backlog into signed contracts, we expect the next few quarters at NGS to be largely focused on execution within the UK, France, Saudi Arabia, Australia, and other countries where we’re experiencing strong growth. Matrix; Walt Cooper and his team drove a strong first quarter. Operationally, we’re able to complete more assessments rom our 2015 plan in Q1 than we thought we could. Obviously, that drove revenues and subsequently this drove the operating leverage in Matrix’s business model and increased margins above our internal expectations. Recent productivity improvements and lower indirect spend also contributed to the strong margins. Please keep in mind that our quarterly volumes will fluctuate due to client demand and we consider Q1 2015 to be an example of the stronger than average quarter for Matrix in 2015. Finally, the Matrix team continues to expand their assessment offerings around such areas as osteoporosis and colon screening and also initiated their pilot program in their new chronic care initiative. We look forward to reporting more on these strategic initiatives over the next year. Moving on to Human Services. Mike Fidgeon and his team led a solid operational and financial first quarter. Revenue grew 2.5% as the result of organic and acquisition growth that’s partially offset by our decision to exit the Texas foster care contract last year. Excluding the impact of acquisitions and the Texas foster care contract, revenue growth was approximately 3%. Adjusted EBITDA margin increased approximately a little bit over 300 basis points to 4.3%, driven by our productivity and realignment initiatives. Note that on our Q4 call, we indicated that we see human services ultimately returning to its historical EBITDA margin level of approximately 4% after corporate allocations. Given our change in corporate cost allocations, the 4.3% adjusted EBITDA margin we reported this year is not apples-to-apples with this 4% target. Using the old corporate cost allocation methodology, Human Services margin would have been below this 4% target. Thus, we still believe Human Services margin has room to expand. Finally, I will touch on a few other consolidated level items. So, first of all, G&A was 4.9% for the first quarter of 2015 versus 4.7% last year. This increase was primarily due to increased stock compensation expense for cash and share settled awards. We continue to keep a close eye on our G&A costs, particularly at the corporate office. And as we begin to develop our 2016 budget, we’re incorporating elements of zero-based budgeting across our verticals and our corporate departments. Net interest expense for the quarter was $6 million. This interest expense includes a $1.3 million expense for fees and interest on the bridge financing related to the Matrix acquisition, which was paid off in February. This bridge financing again was taken out this past quarter with the proceeds generated from our issuance of convertible preferred shares in February. Our effective tax rate for the first quarter was 53.9%, which is higher than the 40% to 42% range we indicated for 2015 on our Q4 earnings call. The delta is largely the result of not being able to deduct the $2.5 million loss on equity investment related to the Mission Providence JV. Given that we expect the JV to continue generating a loss for the remainder of the year, our effective tax rate will be above 42% for the year. Finally, I’d like to thank Warren for his leadership at Providence. I look forward to working with him and Chris during the CEO transition and wish him well in his future endeavors. He was instrumental in assembling the team of leaders at the corporate level and within our verticals who have driven outstanding financial results during this past quarter and we’re also focused on delivering superior intrinsic value over the long-term for our investors. And more importantly, a team with the overarching priority of delivering superior outcomes for our millions of clients across the globe. With that, let’s open the line for questions.
Operator: [Operator Instructions] Our first question will come from the line of Bob Labick from CJS Securities. Please proceed.
Dan Moore: Hi. Good morning. This is Dan Moore filling in for Bob.
Jim Lindstrom: Good morning.
Dan Moore: Just regarding logistic here, were there any one-times or sort of makeups in the revenue number or is that a reasonable quarterly run rate to think about for the balance of the year?
Jim Lindstrom: Just referencing the quarter, there were no sort of large one-time items during the quarter, nothing sort of pressing up or down, I think it's consistent with the trend that we expressed last quarter regarding the margin pressure, some of the reasons that I just explained on the call and again we don't see going forward any reason why that pressure wouldn't continue versus last year's margins.
Dan Moore: Understood. And any update, I apologize if I missed it, but any update on the South Carolina contract and any other major contract rebids beyond what you mentioned or perhaps additional color regarding what you mentioned at the prepared remarks?
Warren Rustand: South Carolina, this is Warren, South Carolina has yet to issue its RFP and so we expect that to be issued in the not too distant future. They had a change in leadership in South Carolina within the government. As a result, it slowed that process down, and we're still very interested in that RFP. Regarding New Jersey, the RFP is still not on the street. We expect an extension beyond the current extension that we have that may in fact run through the end of the year before that contract is decided.
Dan Moore: Very good. And one more switching gears, as you look out to 2016, how would you characterize the contribution or potential contribution or loss from MOJ in Mission Providence, collectively will they likely to be at least break even or perhaps is there upside to that?
Warren Rustand: Well, it's hard to comment on them too specifically on an individual basis, but I would say they're both in terms of financial results, we expect them to be fairly consistent with how we described contract performance in NGS during the last quarter. So during the first year, we expect to invest in start-up costs or transition costs, so we could see as we've stated sort of up to $15 million of investment in both contracts and in the second year, we expect to breakeven or swing to the positive as we complete those transition costs in that transition period. And that goes on for a couple of years, where we could see some more profitability based on, I'd say, less -- revenues that are less susceptible to the performance by result structure and then as we enter the last third of the contract, that's where we see more of the payment by result becoming an increasing proportion of the revenues. So to be a little more specific, I think the second year and again remember Mission Providence, although we've started some of the work already in May, we really expect to ramp up in July, so we will see a loss continue most likely into 2016 as the first 12 months operationally will extend into 2016. So and then we'll see breakeven and profits hopefully coming after that for both contracts.
Dan Moore: Thank you for the color. I'll jump back in the queue.
Warren Rustand: Thank you.
Operator: [Operator Instructions] Our next question will come from the line of Mitra Ramgopal from Sidoti & Company. Please proceed.
Mitra Ramgopal: Yes. Hi, good morning. First just getting back on the G&A, if you're to ex-stock comp, what would sort of be a more normal percentage for that?
Jim Lindstrom: We don't break it out that way, but I will say that we did have, as I mentioned, some cash settled awards and those cash settled awards are revalued on a quarterly basis and so that added and you'll see this in our Q about $2 million to our corporate G&A line, which was -- that's probably worth 400 basis points. So I know last quarter, we talked about hitting a 4% G&A number, I think we're probably, that was assuming sort of a flat stock price and those for revaluation of those cash settled awards, so we could see that number as a percentage of revenue creep up above the 4% level for the year, if that's where you're heading.
Mitra Ramgopal: Yes, no thanks. And then, back on the tax rate, I guess, the 42% plus number applies for the entire year and not necessarily just for the remaining quarters?
Jim Lindstrom: So the tax, yes -- that you think about that the tax rates reprieve the equity investment in the joint venture and then obviously the joint venture throws it off, and that's how we get to the 50% plus.
Mitra Ramgopal: Okay, thanks. And when we look at the sequential improvement we saw in Workforce Development, I don't know, if the way of -- it was largely due to the MOJ contract?
Jim Lindstrom: I'm sorry, can you repeat the question?
Mitra Ramgopal: The sequential improvement we saw in Workforce Development, was that mostly due to the MOJ contract?
Jim Lindstrom: So, as I mentioned, we had some payments come through related to our work program, which will not be repeated again till Q1 2016, so with that $4 million plus that we related to 2014 and then we had some additional payments that were for activity in Q1 2015. So that's certainly contributed to the overall level.
Mitra Ramgopal: Okay. And switching to the Matrix, I was wondering if you could comment again on the first quarter, if it’s essentially really volume driven and you're still seeing some pricing pressure and if the pressure is pretty much in line with your expectations?
Jim Lindstrom: Yes, we do continue to see some pricing pressure, we've seen it flatten out in terms of the pace of change as we described last quarter, I'd say that that continues. We do continue to see the pressure but it's certainly isn't to the extreme that we've seen over the past few years. Warren anything?
Warren Rustand: No, I think it's the natural course, that they'll see a continued pricing pressure as Jim suggested but more moderate than we had expected and we'll continue to deal with that through process improvement and offset those price decreases through process improvement which has been the history of Matrix over the last four years.
Mitra Ramgopal: Okay, thanks and again, I guess, it's relatively just probably the first full quarter you've had with Matrix and again, you can probably tie in with NGS, as you look back at both acquisitions, you're pretty much performing in line with expectations or this case, you're actually exceeding them?
Jim Lindstrom: In line with expectations and depreciate the first quarter that Matrix had but don’t want to extrapolate from that first quarter any additional increases over the course of the year. We still maintain our expectations for the year.
Mitra Ramgopal: Thanks for taking the questions.
Jim Lindstrom: Thank you Mitra.
Operator: [Operator Instructions] Our next question will come from the line of Keith Rosenbloom from Cruiser Capital, please proceed.
Keith Rosenbloom: Hi guys, congratulations on really just terrific performance. Could you shed some light on the CEO search and what your thinking is, given the structure of the business, are you going to be looking deep inside the Company or you casting a far and wide net, just give us some thoughts on what you're looking for?
Chris Shackelton: Thanks Keith, this is Chris Shackelton, I appreciate where the question is coming from, maybe a couple of points. First, this is a process as we mentioned in our press release that the Board has been working on with Warren since earlier this year, earlier in March, we initiated a broad search process with Heidrick & Struggles, the nationally recognized firm for both an internal and an external search process which we are quite focused on, progressing in a thoughtful and disciplined manner. Given the stability of the business, the holding company structure combined with the depth and strength of the leadership team, and my familiarity with the business, we're perfectly comfortable with the timeline on our ability to drive the business through an interim period. With respect to your question specifically on timing, I fully expect this to be a short interim period, at the very least, I commit to you that I'll be back on the second quarter call with [ph] a substance of update, but frankly I hope we have our next CEO identified and announced well before then.
Keith Rosenbloom : Okay, thanks a lot for that.
Operator: Our next question will come from the line of Bob Labick. Please proceed.
Dan Moore: Thank you, again. Just curious in terms of the accounting of the start-up expenses expected for Mission Providence. How much of those are likely be capitalized and how much do you expect to run through the P&L?
Jim Lindstrom : We are running through approximately, like I said, up to $15 million through the equity line this year. Are you trying to get the sort of a cash number?
Dan Moore: Correct, correct.
Jim Lindstrom: Yeah, that’s going to be a little bit higher. Probably closer to -- for 2015 -- closer to $18 million, let’s say $18 million to $20 million, but again, that number is influxed and as we roll out, I mean, it could be better by a few million, it could be worse by a few million. We’re going through things like fit-out phases as we roll out the contracts. So, our CapEx is a little bit influx right now.
Dan Moore: Understood. That gives me order of magnitude. Thank you.
Jim Lindstrom: Yeah.
Operator: [Operator Instructions] Our next question will come from Mitra Ramgopal from Sidoti. Please proceed.
Mitra Ramgopal: Yes. I just wanted to follow-up. I know previously you use to disclose number of clients for example in the NET business or Human Services, et cetera, was that released or is that -- that’s going to be done going forward?
Jim Lindstrom: So, we did omit that from the filings this quarter. We’re -- as we’ve added two new -- obviously two new acquisitions, the definitions around that is certainly something that we’re taking a new and fresh look at and frankly, even within the Human Services and LogistiCare model, it’s just because that we have different definitions amongst the different segments, we thought it was better to sort of pull it out and think about the right metrics going forward volume wise that we could share with shareholders. So, we’re working on sort of reinstituting what that might be over the next few quarters.
Mitra Ramgopal: Okay, sure, understood. And again, I thought the breakout starting this quarter in terms of segments, et cetera, certainly very helpful.
Jim Lindstrom: Great, thank you.
Operator: Our next question will come from the line of Mark Goodman from Chartwell Investment Partners. Please proceed.
Mark Goodman: Hey, guys. Thanks for taking the question. I was just wondering on the Matrix business if you could comment on the relationship with your large customer there and how that’s evolving given their recent acquisition that they’ve done in that market.
Warren Rustand: Yeah, the large -- our largest customer there as you know is Humana and they’ve been a really great customer and a great relationship for a long time. They’ve made an acquisition this particular company and they -- we had discussions with them in advance of the acquisition simply to understand that and they are really particularly interested in acquiring nurse practitioners for their Humana in-home group and want to be able to proceed with that as opposed to necessarily expanding growing the health risk assessment business. So, their attraction to that business is the personnel component of that, which they want to apply towards their in-home healthcare program, which they already have. So, we will continue to work closely with them. We continue to get substantial volumes from them and consider really outstanding relationship.
Mark Goodman: Great, thank you.
Operator: With no further questions in the queue, I will now like to turn the call back over to Jim Lindstrom -- to Jim Lindstrom for closing remarks.
Jim Lindstrom: Great, thank you. Just one item to note that I did misspeak in terms of the G&A line with the improvement relating to the cash settled awards. I said they were improved by 400 basis points, I meant to say 40 basis points, Mitra. So just want to clarify that. Other than that, thank you all for participating in today’s call. If you have any questions please feel free to reach out to Chris, Warren, or myself, going forward and we look forward to speaking on the next call and hopefully seeing you all at our Analyst Day in early October. Thank you.
Operator: Ladies and gentlemen, that concludes today’s presentation, you may now disconnect. Have a great day.